Operator: Hello and welcome to the Scorpio Tankers Inc. Third Quarter 2015 Conference Call. This call is being recorded. I would now like to turn the call over to Brian Lee, Chief Financial Officer. Please go ahead, sir.
Brian Lee: Thank you and thank everyone for joining us today. On the call with me are Emanuele Lauro, Chief Executive Officer; Robert Bugbee, President; and Cameron Mackey, Chief Operating Officer. The information discussed in this call is based on information today as of November 4, 2015 and may contain forward-looking statements that involve risks and uncertainties. Actual results may differ materially for those set forth in such statements. For a discussion of these risks and uncertainties, you should review the forward-looking statement disclosure in the earnings press release that we issued today as well as Scorpio Tankers’ SEC filings, which are available at scorpiotankers.com. Call participants are advised that the audio for this conference is being broadcast live on the Internet and is being recorded for playback purposes. An archive of the webcast will be made available on the Investor Relation page of our website for approximately 14 days. On the call, there will be a short presentation with slides and the slides are available on the Investor Relation page under Corporate Presentation at scorpiotankers.com. Now, I would like to introduce Emanuele Lauro.
Emanuele Lauro: Thank you, Brian and thanks everybody for joining us today. In Q3, we have focused on execution. We have taken delivery of the vast majority of our newbuildings by now. We have passed the stress test of the deliveries. This doesn’t mean that we can relax, because of course, running such a big fleet comes with challenges. But we are getting to a phase where the “only problems we have are on the ships rather than at shipyards.” The company is entering in a more mature stage. We are committed to maintain a balance sheet discipline as well as a leverage discipline. We have started refinancing our credit facilities. Some came to maturity and some we felt appropriate to start refinancing as it would take months and not weeks to do so. As we mature capital of course on the debt front has decreased and we want to capitalize on debt, not rushing into it, but rather just being aware of it. The third quarter was a great quarter in rate wise. Q4 instead has started softer. In relative terms, we expect the winter to be a strong one, but we don’t know whether this is going to be a great winter or just an okay winter. It’s so difficult to predict quarterly movements, but what we believe in is rather a multi-year growth for product demand. And we also believe that charters have the same view as ours, so charters, end users have the same view or share the same view as us and this is demonstrated by the time charter coverage, which we have announced very recently on two of our ice class MRs and on one LR2. So, we have a quality fleet with a quality balance sheet. And if we manage to use the same quality in our capital allocation, in the options that we have in our capital allocations, we believe this will ultimately result into quality earnings for the company and dividends. We feel of course, that we are at a point in the market where the fleet delivered and the quality assets that we have, we can look at the future with optimism. As I said before, we just don’t know to which extent the short-term is going to be good or great. With this, I would like Robert to take over and go through the few slides that we have.
Robert Bugbee: Good morning. As Emanuele said, look we continued to see further verification of strength going forward in multi-years and that’s secular and particular demand growth. What we are also seeing is we have seen that the forward supply as a percentage of the fleet on the water continues to come down. This is quite encouraging. There has been some recent new ordering, including ourselves to try and get ahead of the Tier 3 regulations, but we would expect ordering of vessels to slowdown pretty quickly. The top quality odds are pretty well fill up now in ‘17. But we would also like to introduce something on the supply side that hasn’t been a factor in the product market up to now, which is sort of reduction in real trading supply as a result of aging. In the product market, it’s much more critical than the crude oil market or the dry cargo market to have vessels that are less than 15 years for top quality customer preference and terminal approval and thereby earnings. And if we go to the first slide, we can see that Scorpio Tankers’ fleet is an extremely new one. And on the surface, the entire product tanker fleet looks reasonably new, under 10 years in average. But if we then move to the second slide and we look at the particular areas, we look example of Handymaxes and we take the present fleet that’s under 15-years-old, which is 332 vessels, 26 vessels next year are going to turn 15-years-old, followed by 21 years, 33 years, 32 years. And these are quite significant percentages that are going to be removed from the premium trades. In the next slide, we can see the MRs as well. In the MRs, we start off reasonably slowly in 8 and 16 with 18, but it really starts to gather pace as we move back through the years. And that in combination with a order book that has come down in percentage going forward and the fact that ‘17 is virtually covered, is going to – coupled with the growing demand story, we believe create a multiyear period where a new fleet with access to reasonably efficient financing on the debt side that is already reasonably leveraged, that maintains the discipline related to leverage is going to have an opportunity for many years to provide quality earnings and ultimately an improvement in quality on dividends too. With that, we would like to open it up to questions please.
Operator: [Operator Instructions] And we will go first to Gregory Lewis of Credit Suisse.
Gregory Lewis: Good morning. I guess Emanuele or Robert, I would be curious on your thoughts around and Emanuele you mentioned that capital allocation. I mean clearly, we are seeing a nice ramp-up in operating cash flow this quarter, it was well over $100 million. You are talking about quality of dividends. It looks like you may have actually paid down some debt this quarter. If you could just kind of highlight how you are thinking about using the cash flow that it looks like the company should be generating not only in the near-term, but let’s say at least say through ‘16. I would be curious upon that?
Robert Bugbee: Sure. So, this quarter, I think was one of those sort of exceptional quarters, where you could really do a bit of everything. You could pay down debt, you could buyback shares and you could take deliveries of new vessels to and create optionality going forward in your fleet for growth too. And going forward, we believe that fundamentally, we have those same options. But the first point is that you have to maintain your debt discipline. So, you are going to – despite having a lot of flexibility, you are going to try and move your debt equity ratios down towards the sub 50% level. That could happen quite rapidly. And we expect it to happen pretty rapidly. Then you start to look at your alternatives. I mean, we have pretty well laid out our position in terms of continued fleet growth. So, I don’t think we are going to really have much more of that in the next month. You are going to go into a stable period, where the work is really done. We don’t feel any anxiety that we need to buy vessels. We have got a lot of operating leverage going forward. And we have set out those still going forward there. You have obviously seen that we have in the announcement $200 million plus left on our securities buyback and this is always a go-to place when the stock is – when we think we can buy stock at a price that doesn’t reflect the longer term value of the company, especially when you are not actually being paid very much in the bank on a current account. So, it’s really sort of nothing too aggressive either way. I don’t think we are going to be adding many assets. And I think that we – with the cash flows, we will be able to both tape out de-leverage and probably take – have the opportunity in a volatile stock market to engage in buybacks on the way, but it’s really a little bit of delayed gratification. I mean, a few months of STNG just doing not very much will create a balance sheet and a fleet that will be fantastic. And we also think as Emanuele pointed out that over the next coming months, we will materially improve our debt financing. The lenders are giving us credit for the, let’s say, the maturing of the company, the EBITDA, the trailing EBITDA, the forward potential EBITDA even on modest rate structures. But we believe that the market will provide us with as Emanuele said somewhere between good and great. We just don’t know which of those two it is.
Gregory Lewis: Okay, perfect. And then just one more for me, just as you see the next few months or through the winter developing in terms of the tanker market, I mean, clearly, you gave guidance on what’s been done through this quarter, pretty healthy levels. As how to use, I guess, are we seeing any signs for a potential strengthening in the winter market? And just as to dovetail on that, is there any visibility or are customers approaching Scorpio or are we seeing more inquiries for customers in the market to actually take some more of these not – I am not as curious as on 1-year charters, but on sort of the multiyear charters? Just if any color on that I think would be pretty helpful.
Robert Bugbee: Sure.
Cameron Mackey: I think the…
Gregory Lewis: Hi, Cam.
Cameron Mackey: You go over it further as you prefer.
Robert Bugbee: Okay. I was going to take the first question. Sure. I think that as we pointed out, I mean, yes, the rates in the trailing weeks and at present are weaker than the third quarter. But relative to historically how rates start in the fourth quarter, the rates are actually pretty strong. So therefore you have got a solid foundation. There is not much loose capacity out there. The Asian markets are functioning well. The real weakness at the moment is in the Atlantic Basin. And at some point, winter will come and you are starting from a reasonably tight supply and demand point. The other thing is that we think in this new world, the winter period is actually most probably and has been now for a couple of years extended. We used to think the product market ended somewhere around March and April, but it’s now being extended into June and July because of the shift in demand and the fact that we are now working not just with the Northern Hemisphere market, we are running at Southern Hemisphere market too. When it comes to your customers, your charters, there are two forms that the charter is showing confidence in. One is the time charters that you alluded to. And yes, we would think that there will be continued opportunity to take 3-year charters. We don’t really want to or longer – we don’t really as usual, want to trade those out in public on a conference call, so we are not willing to discuss how many at any particular point or what percentage we would get to. It is however very clear that and without going into detail that when you have some time charter coverage, your lending position and the terms you are going to get from your lenders dramatically improve from a company that is fully spot. You would always like that certainty when you have got so much operating leverage. In an ideal world you would and this doesn’t take a week to get to, you would love to get to a situation, for example where you can cover your daily exposure, cover your G&A, your interest rate costs and your dividend costs and you are playing from real, real strength. That could be achieved by – you can do the math yourself, by using less than 20% of the fleet can get to that number. The other form that security takes is not necessarily in time charters, but in contracts of affreightment or joint ventures with customers, whereby they are giving you contracts that not just secure revenue price, but also enhance your triangulation or your ability to trade. Those things we will never discuss in a public forum. Emanuel, do you want to add to that?
Emanuele Lauro: No, I think you have covered it, Robert. I think you have covered it, nothing to add from my side.
Gregory Lewis: Okay. Guys, thank you very much for the time.
Operator: And we will go next to Jon Chappell of Evercore ISI.
Jon Chappell: Thank you. Good morning or good afternoon. Just a couple of somewhat follow-ups to what Greg was talking about, first of all on the buyback, clearly, the pace has slowed a little bit. Just trying to figure out how much of that has to do with a quiet period, how much of that has to do with retaining capital for the remaining new builds or even just showing the banks with stronger balance sheet as part of the refinancing process. And then also given the release today and based on your answer to that first part, any likelihood that you would be re-ratcheting up the pace there, given the stock pressure action?
Robert Bugbee: Well, we don’t know what the stock price – we don’t know what the stock price is going to be even by the end of today. But you are quite right that, that there was a slowdown. That slowdown was 100% to do with being in a quiet period. The company must observe that situation. It’s – there is $183 million or so of cash on the balance sheet right now. It’s pretty clear any analyst can work out that we are still significantly cash positive, so that $183 million is more than likely going to increase left to do nothing going into December. We haven’t really gotten any that much cash going out in terms of commitments to newbuildings, because they have either already been funded on the equity side, as in the case of the LR2s or in the MRs, your payment structure itself is very light and it is also already being funded. I mean, as you know, it was a percentage down for 6 months. So, you basically got another 5 months before you have to put down $1 and that’s already being in the actual balance sheet at the moment. So, you have the capability and I don’t think it would be right in terms of creating shareholder value for us to provide information allowing people to front run our stock purchases.
Jon Chappell: On the refinancing side, it seems like there is probably still a fair amount to go. What kind of savings are we talking about here? If you can’t do it in a dollar basis, because you are still in negotiations, just what type of change on the margin, are you seeing as you negotiate with the banks?
Hugh Baker: Jon, its Hugh Baker speaking. If you look at the totality of our debt, I mean, we have a lot of debt that was put in place in 2012 to 2014 when the company was at a less mature stage of its development and also bank pricing generally was a bit tougher. So, there is a substantial scope for a restructuring, a repricing, a repositioning of our debt at lower rates. And potentially, there are savings of around 1% in interest cost. Now obviously, you save 1% of $1 billion, 1% of $1 billion of debt, that’s $10 million a year that goes straight to the bottom line. There are, I think – I don’t want to get everyone’s expectations up, but clearly, the company can make progress in terms of restructuring its financings to make future benefits.
Jon Chappell: Thanks, again. On the charter end policy, 10 out of 13 charter ends expiring by, I think, May of next year. Obviously, you already retained a ton of leverage with your operating exposure, but you did exercise a couple of options here. How should we think about letting those roll off and keeping the cost lower through just your own tonnage?
Robert Bugbee: I think you just have to take them one by one. It’s pretty clear that we have been running that time charter book generally down. But for example, we are already indicating that customers out there willing to pay $28,000 plus for an LR2 delivering in February, March next year. And we have one of those charters that are in the very low 20s as an option to declare in December. So, I think that where you have got clear thought that you are exercising a charter that is in the money to that forward curve, you are going to do it, but in total, whether it’s because some of those charters don’t have anymore options on them in total, you are going to be continuing to run down your charter book. And that’s part of it too here. You are de-risking. We have such a lot of operating leverage in terms of the amount of vessels and the quality of the vessels that you are just de-risking over time the enterprise whether or not it is improving your financing terms with the lenders, whether it is having less, whether it’s having more own tonnage that have cash breakeven significantly lower than the time charter in market, whether it is just generally bringing your total leverage down, this is what Emanuele was talking about earlier. You are having many mechanisms to just improve the quality of the balance sheet, the quality of the earnings, and ultimately the quality of return of capital to shareholders through dividends, etcetera.
Jon Chappell: Okay. One last quick one just on what you are talking about getting closer to that returning capital exercise options on four of these MRs. I assume that I got in under the Tier 3 deadline. If you were to exercise the other 6, when would you have to do those to get them out of the Tier 3 deadline? Are you kind of locked in there already or are you grandfathered in because of their options or is there a timeline, which...
Robert Bugbee: Well, all the options are...
Cameron Mackey: Jon.
Robert Bugbee: Sorry. Cameron, go on.
Cameron Mackey: Yes. We are just going to take a pass on that. No comment.
Jon Chappell: Alright. Thanks Cameron. Thanks Robert.
Operator: And we will go next to Doug Mavrinac of Jefferies.
Doug Mavrinac: Thank you, operator. Good morning guys. Just had a couple of follow-ups to what people have already asked. With the first being on the time charters that you guys announced last week, I mean obviously the quarter was great, a record quarter. But I think what was even more intriguing with last week’s announcement of these time charters. My question related to those is first, how deep would you describe that market, Robert, would you say that kind of what you had secured is what was what available or could you have done more vessels at those types of rates for that type of duration?
Robert Bugbee: Well, I think that you have to look at it that we weren’t looking at it in that way. I mean the first stage is you are looking at it a different way. We looked at these first charters as an extension of our strategic chartering policies in the sense that we had great benefits in the company in building a relationship with a major U.S. Gulf exporter by having a couple of ships on charter, which really created a much better platform of customer and service provider relationship on the daily trading. We were looking all along for as this LR2 market in Asia expands, where we have been looking and continued to look for the right partners to partner up with them to enhance your spot trading position and we found a partner. And we have a lot of ice vessels, a lot of Handy vessels and a lot of ice vessels in the Handy pool. And we were really thrilled to create a better, again customer service provider relationship with a Northern European ice specialist trader or end user. So weren’t looking at how deep was the market. I mean I think you could pretty well take a quality vessel, a newbuilding, top Korean spec MR. Look, the market is reasonably deep at this stage. We are still confident of the spot market. We would still expect that the next year, if you take the next 12 months in total, we still expect that those MRs would actually earn more than $20,000 a day. So it’s not a decision made on, oh my gosh, we have to get deeper and do it. It’s a very, very tactical position. And yes, we would like to improve it to have a nice, safe balance sheet, improve it by adding some more. But we will do it in a precise – continue to do it in a precise way to enhance our overall spot market earnings through the relationships.
Doug Mavrinac: Got it, very helpful, Robert. And then...
Robert Bugbee: But if the market is deep – well, the market is starting to divide up and this is partly what we are showing in those slides is that you are starting to have that beginning stages of customers do have choice now between those top – the access for – the ability for a top modern vessel to get fixed on 3-year charter is obviously much higher than an older vessel among them.
Doug Mavrinac: Right, very helpful. And then in addition to all of the benefits that you just described, would you say another could be that this is kind of the new benchmark for the time charter market. So in addition to kind of the business that you secured for Scorpio, is the rest of the market, when you are talking to customers and even competitors, do they now know that for a 3-year MR, you are looking at something north of $20,000 a day and that’s kind of the new...?
Robert Bugbee: I don’t think that’s the case. I mean, first of all you have got – I am indicating that there is a specification of vessel and a relationship aspect to it, right. In other words, the customer on the other side of the trade might have said, well it’s like you are sitting down as two adults. You have got a customer who is a big user of these vessels talking to the company that has the most and then if you add the group with the pools, absolutely by a long way, the most ability to provide modern ships. And I am indicating that there is a subset in the trade behind that that is beneficial to both parties. I do not think that the 3-year rate for a normal average non-ice MR is necessarily $20,000 a day right now on a separate issue.
Doug Mavrinac: Okay, right. That’s very helpful as well. And then just final question also kind of as it pertains to the market and that’s very tough, Emanuele talked about that we expect somewhere between good and great. My question for you guys is you are sitting here we are looking at the U.S. Department of Energy reporting that refining capacity utilization is now taking up two weeks in a row. We know Ruwais isn’t fully ramped up. We know that Paradip is about to get started. So, when you look at kind of each of those potential catalysts coming up, how do you see that playing out? I mean, do we think that it could affect the LRs first and then maybe see some talks [ph] to the MRs or how do you see each of those dynamics kind of coming together and what could be somewhere between the good and great market over the next several weeks or a few months?
Robert Bugbee: Well, it’s – you can go back to last year, okay. So last year, the market ripped out after Thanksgiving. And – but the first part to that period was so weak that despite the rip-out after Thanksgiving, we reported last fourth quarter 2014, we only reported $23,500 for the full quarter on LR2s and $18,600 for the full quarter on MRs. Well, we have already in our earnings guidance now indicated $19,000 for the first 43% and $25,000 on the LR2s. And that’s what I keep saying that on a relative basis, we are going into this change of season off a stronger level. And when Emanuele said, it could be – we don’t know, whether it’s good or it could be great, it’s like tell me what the weathers are going to be like, tell me what delays in Houston are going to be like, because you have a market that is fundamentally tight as indicated by what we have already released. And a number of factors could come into play into rip either the LR2s or the MRs up first. And there are number of factors that could just make it a good winter like last winter, for example. Last winter wasn’t great. I mean, remember that Scorpio Tankers on MRs delivered $18,600 for fourth quarter and first quarter only delivered $20,500, but still our trailing total earnings are well above $1.30. So, that’s what I think Emanuele was describing as good. Great can happen and there are many factors that could make that happen.
Doug Mavrinac: Yes, fantastic. That’s all I have Robert. Thanks for the time.
Operator: And we will go next to Noah Parquette of JPMorgan.
Noah Parquette: Thanks. My question was regarding in your discussions with the Korean shipyards and given the financial distress over there, I mean, how would you characterize the differences between your discussions several years ago? Is there more price discipline? Is there some desperation? Just wanted some color on what’s going on there?
Robert Bugbee: Sure, I can try and take that for you. I think you are exactly right. I think there is two things going on. One is enhanced price discipline, because you are in the middle or say the early innings of the consolidation of capacity and also a, let’s call it, capital construction phase in shipbuilding. So number one, you have increased price discipline. Number two is you haven’t reached a stage of desperation, but what you have reached is a period of pragmatism between the state-sponsored creditors of the shipyards and the shipyard themselves about combining facilities, rationalizing production, rationalizing labor. So, this is proceeding, I would say, not in a desperate fashion, but rather in orderly fashion. I can’t say whether that’s going to continue. It looks like it’s proceeding, but of course, it’s greatly helped by the sort of the tough markets in offshore, particularly in offshore, but also in [indiscernible].
Noah Parquette: So would you view shipyard capacity in Korea in terms of product tankers declining over the next couple of years and you see any other parts of the world picking up like how does Chinese quality compare now?
Robert Bugbee: I do see or I think we as a group see product tanker capacity, total shipbuilding capacity in Korea declining. I think we also see it declining in China. I think that the efforts that the Chinese government has made to consolidate their private and public facilities into two, say sponsored groups bodes well for rationalized capacity. Of course, they will try and move up the value chain in shipbuilding into tankers and containers and offshore gas. I mean, that’s inevitable. But some of the newer attempts at tanker construction have yet to be seen. That will play out over the next 3 year to 4 years, I would suspect.
Noah Parquette: Okay. And then just another question on the Asian trade, are you seeing kind of a glide of diesel on more product exports out of China, how is that changing trades. And has there any trade routes or changing flows, has there been any vessel congestion or anything like that, that you have seen?
Robert Bugbee: Yes. I can take a crack at that. I mean what we are seeing of course, is anytime you get an extension of production capacity on products, it means both enhanced imports and exports because it – that production exacerbates both the products in deficit and the products in surplus. So some vessel congestion, we think that might get worse in particularly in north part of China as winter comes on. But it also positions a lot of vessels out there. We still see a great deal of trade flow into Southeast Asia, Australia, New Zealand, Pacific Islands, all because these are now start for products and the natural shipping point is either Korea or China.
Noah Parquette: Okay, that’s very helpful. Thank you.
Operator: And we will go next to Spiro Dounis of UBS.
Spiro Dounis: Hi. Good morning gentlemen. Thanks for taking the question. Robert, I just want to go back to one of your slides in the 15-year-old vessels and maybe just trying to quantify the impact of what that could have. So obviously, those vessels don’t all just get scrapped, they go somewhere. And I guess if I am thinking about this right, let me know, do they just go from being 90% utilized to 60% utilized. And then suddenly that 30% delta gets made up by newer vessels and does that create a Tier 2 market or is there another way to think about what happens to those vessels?
Robert Bugbee: We move some of these premium trades, I mean at this stage it’s not something you can quantify perfectly because it’s going to become a relatively new phenomenon in the product market. It’s – if you are correct, it’s not the same as scrapping, but they are not going to – you won’t be able to triangulate them in some route, they will get shut out of entirely.
Spiro Dounis: Okay, that makes sense. And then just Robert, last time we spoke I got scolded a little bit for not asking enough questions about the veggie oil trade, and I think it’s come up yet. So is there anything going on in that market that can possibly snap rates back before even the oil trade comes back?
Robert Bugbee: Nothing, the vegetable oils, but not instantly, not this second, but vegetable oils, palm oils are all growing in their demand. They are all long-haul, they are all alternative and that’s being a good underlying and will continue to become a good underlying source of demand. And if you were just to Google the expansion of palm oil production in these countries and expect that most of this surplus – most of this demand or production surplus will be exported and exported by sea. Some of those routes in ton miles are growing at a much higher percentage than the underlying growth in straightforward petroleum products and the traditional routes.
Spiro Dounis: Got it. And then just wanted to hit back again on the buyback and dividend, I mean, the beat is down too much, but if I am thinking about this right, I don’t know if it’s what you think about it, but when you made the decision to do a share buyback or increase the dividend, I imagine you look at the relative value of each one to each other before making that decision. And if I am thinking about ways that dividends become more valuable to a shareholder as opposed to a share buyback, is it a situation where you have got a few things kind of going right and that the share price is up, therefore, share buyback value kind of comes down on top of the fact that you have got maybe more charters locked in. Therefore, you have more visibility as opposed to, I guess, one big quarter of cash flows that you can use to buyback stock. I guess, what I am asking is are there signals we should be looking for that maybe you are thinking about that would say dividend relative value to share buyback has now gotten higher?
Robert Bugbee: Well, the first thing is to understand how we start to look at a dividend. So, the dividend is – your dividend calculations are one where you are not saying to yourself, oh, wow, what are we going to do this quarter? We can pay out. You are creating a dividend that is, let’s say, a more normal dividend than it is seen in most other types of companies where you view it as “subject to the board.” You can depend on it. You can rely on it whether the quarter is a good quarter or a bad quarter. So therefore, you are tailoring your dividend to what you are really countering the sustainability, etcetera, of the position. And it’s not like the dividend right now you go to the second point of the stock. I mean, the dividend is, in relative terms, reasonably high. I mean, 5.5% is okay. You are going to get 5.5% whether this quarter is bad or this quarter is great. So, it’s not as if the company is paying a 1% or 2% dividend. Then on the mathematics and it comes to this delayed gratification part of it is that a buyback of – when you are buying stock, you ultimately obviously improve your long-term ability to pay higher dividends, because you are taking down the share count of those dividends.
Spiro Dounis: Yes, less math. So, that makes sense. Last quick one, hopefully...
Robert Bugbee: If you just take it to the extremes, if the stock is $20 right now, you are going to be less inclined to use capital to buy stock than if it’s $1.
Spiro Dounis: Great. And then just last one, hopefully, you can answer it, but just on the 6-vessel options, just I guess I would say outside of exercising them, is there any other way you can monetize those options, not sure if the secondary market exists for something like that?
Robert Bugbee: That’s kind of a bit way out there at the moment.
Spiro Dounis: Okay. And that’s why I wasn’t sure if it was something obvious that you could do, but that works. Great. I appreciate the color. Thanks, guys.
Operator: And we’ll go next to Magnus Fyhr of GMP Securities.
Magnus Fyhr: Yes, hi guys. Most of my questions have been answered, but just curious on if you have any data on port congestion to see what your fleet is kind of waiting times you currently experience when you are in ports?
Robert Bugbee: We do, but we will keep that as commercially proprietary at the moment.
Magnus Fyhr: Okay. Would you say if it’s kind of….
Robert Bugbee: It’s the same. We don’t like to give details on what we think on the particular market will give general statements on what we have on palm oils or what we think January will happen when ships come to 15 years old. But a lot of it is we do have the advantage in having a big fleet and having a big information database, especially when you include all the pool partners. And that’s partly we would like to keep that to ourselves.
Magnus Fyhr: Okay. Maybe if you can, can you talk about maybe if any ports in particular that you see increased congestion and also has congestion time increased over the last six months?
Emanuele Lauro: Magnus, I could take that. You have two. I will say two obvious things, which is number one, your port time and your susceptibility of the congestion increases as the size of the vessels decreases. So obviously the larger vessels are in longer-haul voyages, so the time they spend in port is less and the smaller vessels going short voyage was obviously proportionate time in the port is greater. That’s point number one. Point number two is as Robert is referring to, there are times and circumstances in trading a volatile market where you will actually target certain voyages and certain routes to either increase or decrease the amounts of congestion that your vessel faces. And you do that to take advantage to either avoid or capture the benefit of high demurrage rates. And so what Robert is referring to is on the margin, there is a certain amount of strategy and tactical decision-making that goes into routing vessels or granting options to customers that exposes to congestion. Congestion sometimes it’s seen favorably and sometimes unfavorably. Maybe the third point is that as we have said for several years, the underlying growth has a lot to do with emerging economies and the resilience in those emerging economies and those places have the least development port infrastructure. So, naturally, you are for the marginal demand, you are going to face higher congestion than trading between developed economies.
Magnus Fyhr: Alright. Thank you.
Operator: And we will go next to Fotis Giannakoulis of Morgan Stanley.
Fotis Giannakoulis: Yes. Hi and congratulations on the great quarter. Robert, probably either you or Cameron, I would like if you can give me your – how do you view the trade in Asia and there were some concerns about the Chinese gasoline demand and the potential impact that might have on – runs in Asia, can you tell us if you see any differences, any changes in the trade. And how do you view overall the fact that the refinery margins, they are relatively lower from what they were in the summer?
Robert Bugbee: Yes. I think that’s a good question. I mean Asia, despite the margins, etcetera there Asia symbioses a net-net positive. If you take China itself, we have really never traded product tankers into China, not alone out of China at the same time. And maybe you did a few cost ticks but you are increasing your vegetable oil runs, you are increasing your other oil runs. And you are actually being able to take gasoline and some reformates in and take diesel out. So China already is sort of only a positive position. The prices in the refineries, I think that’s an interesting question and that’s what yet to play out because on the negative side, you have got all of this sort of surplus in diesel out in Asia. And you are not quite sure what is going on, but at the same time you don’t complain too much if you suddenly start taking – if you are fixing LR2s from Asia to Africa, for example. So we see it as net positive because of the demand side out there. We are a little bit too early to say yet for us what really happens with the ability for those modern Asian refineries and China going into perhaps, as you are pointing out, the surplus of one product and less of one to work out exactly what happens related to, for example, in the European refineries.
Fotis Giannakoulis: Okay. And one more question, I want to ask you about your growth, but you kind of implied that this laid a start there was something like a one-off because of the changes in the regulation. Can you tell us what would be the new cost for vessels ordered after the end of the year relatively to what you bought? And also if you can comment given the fact that there are not so many newbuildings, if you think – how would you prioritize your goals in terms of growing your fleet further given the low order book after the first half of next year versus share buybacks, dividends?
Robert Bugbee: Well, I will take the last question first. Cam, maybe I will take the last question first and then you do the specific thing. But look, I don’t think that as we tried to indicate earlier, I think a little bit of quiet time right now would be pretty good for STNG and all of its dynamics, whether it’s maintain the balance sheet, allowing for the future positions, I mean, there is no – we are kind of – as I said, we are running a little bit down the charter book. These orders were opportunistic to the situation. We have turned down multiple offers by one company or another to buy their fleets or buy their companies. We are very happy in the position we are in. I think a little bit of last quarter, the quarter before was super hectic, lots of moving parts. I think that the company, as Emanuele started off with, let’s focus a little bit on the ships and for at least the next few months, let’s hope we enjoy the stronger season for a while.
Fotis Giannakoulis: And regarding the cost differential after the end of the year?
Cameron Mackey: Fotis, for an MR, it’s probably, as a rough guide, between $1.5 million and $2 million. For conventional ship types, it’s approximately 5% as a rough guide.
Fotis Giannakoulis: And Cameron, are there any real differences in the operation of the vessel, fuel consumption or operating expenses or it’s just a pure cost that you have to pay?
Cameron Mackey: No, it’s a good question. There are differences of opinion here, but I will posit the fuel consumption in compliance with Q3 actually goes up. And the operating expenses will increase very marginally.
Fotis Giannakoulis: Okay, that’s very helpful. Thank you very much and great quarter guys.
Robert Bugbee: Thank you.
Operator: And we’ll go next to Charles Rupinski of Seaport Global.
Charles Rupinski: Thank you for taking my question and thanks again for all the color on the industry. I just had a quick follow-up on some of the things you touched on. Maybe it’s pretty much related. But would you have any general statements or comments on your customers using tankers as a sort of floating inventory management and how that might have been affecting vessel speeds or routing versus previous seasons and sort of more an idea of how that might play into the winter? Thanks.
Cameron Mackey: I can try that, Charles. What you are seeing quite regularly and I would say, it’s increased recently is our customers constantly rerouting or playing options on our vessels in order to defer the sale or delivery of the underlying commodity. So, for example, just two days ago, one of our ships has been rerouted rather than going to the Suez Canal around the Cape to play on that deferral option. Now because again, the price of freight is so small a percentage of the cost of the underlying commodity, it’s a great outcome for us, it’s a great outcome for a customer. Now, I think we see that all the time, but I do agree that we have seen more of it recently. How much more? I can’t really point one.
Charles Rupinski: I do appreciate the color on that. Thank you.
Operator: And we will go next to Shawn Collins of Bank of America.
Shawn Collins: Great, thank you. Good morning. Hi, Robert and team.
Robert Bugbee: Hi.
Shawn Collins: So you have already provided a good amount of information. So, I will try to keep it brief. A big picture question. I wanted to ask about the country of Iran and the easing of trade sanctions against the country in 2016. Do you expect Iran shipping lines to reenter the Western markets and any color on how this might potentially play out in the industry? Thank you.
Robert Bugbee: Iran would be, I think, generally positive, right? I mean, it doesn’t matter where its oil or product it’s exporting. They have a potential there of the new refinery that’s over potentially 300,000 barrels of exports of products. They would tighten up related type of vessels such us Aframax tankers, or LR2s could move to dirty, because they don’t have the same sort of shore facilities to load these, but Saudi Arabia has. So, it’s positive if and when it occurs.
Shawn Collins: Okay. I understand it. That’s helpful. A second question, just thinking about whether the winter will be good or great and hard to predict obviously, but this year, we are expected to have a pretty severe El Niño weather impact. Do you expect that to have any impact on the industry or cause any disruptions or delays or anything of that sort?
Cameron Mackey: As a general statement, absolutely, as you know, El Niño has all sorts of unpredictable, but quite pronounced effect on weather patterns, which is generally very good for us. So, as you are looking at it from our perspective whatever you give back by say a warmer winter and less heating oil demand, you more than compensate for by disruptions and volatility and uncertainty, because traders will want to capture pricing opportunities that, that uncertainty represents with a lot of freight in advance of those positions. So, it’s a trade, but I think it’s a very positive trade for us.
Shawn Collins: Understand it. That’s a helpful explanation, Cameron. I appreciate it. Well, great, thank you for the time and information.
Operator: And we’ll go next to the Amit Mehrotra of Deutsche Bank.
Amit Mehrotra: Thanks for getting me in here. I will make it quick. Good morning, guys. Just one question on the demand side and it relates to the incremental demand surge that we have seen this year I would say over and above the historical sort of compounded growth trends over the last 10 years or so. And just a question on how much of this do you think is related to the high refinery margins and increased refinery throughput? And how much of it is just sort of the secular trends that you are referring to earlier, Robert? And I am just trying to see basically if the demand side of the equation has in part been sort of one-off perfect storm of good stuff kind of drivers or are there sustainable things that are happening over time that explains sort of what the good stuff that we have seen on a year-to-date basis?
Robert Bugbee: Sure. So, I mean, on the positive of that, we know that the vegetable oils and the palm oils have nothing to do with that. You have got that ton mile multiplier, which is so much is coming from, which is those refineries coming up in Asia. At the same time, yes, you have had delays or whatever, but you have also had an increase in general speed of the vessels, which is added to supply. And the environment of lower prices, just lower prices straight through to the consumer when we read whether it’s United States, whether it’s anywhere in the world, the consumer is using more oil products. And if you look at other countries like West Africa, where there is not much refinery capacity but their populations are growing and their use is growing, you have had those imports there. So it’s pretty fundamental.
Amit Mehrotra: I know it’s hard to quantify and it’s maybe impossible. But if you were to say – if you were to take the demand side and say it's 100%, would you say 60%, 70% is secular, 40%, 30% is related to these spikes in refinery throughputs and margins or would you say it's 50-50, I mean anything that you can give us a sense in terms of trying to decipher what’s sustainable and what maybe is related to what’s happened in the macro backdrop?
Robert Bugbee: I think what’s sustainable is the growth of total product demand and vegetable oil demand and palm oil demand because the world is getting better and at these prices, the actual prices, it’s being stimulated even further. So that’s the most important thing here on the cyclic side of it. And on the secular side, we are seeing those refineries come up that’s requiring more long-distance shipping. And it’s a point in this activity to try and get the rest of it. That’s why we ourselves, we were open, Emanuele said at the beginning, it is really difficult to predict things on a quarter-to-quarter basis. But we are confident that there is the bits in place, whether its refinery change or consumer demand or countries requiring more of the actual diversity and volume of trade getting bigger in this space, that we are going to have demand growth for multi-years. And of course, you are going to have little changes in between trading habits or weather or etcetera.
Amit Mehrotra: Yes. I mean, we just started cooking with coconut oil in my house, so I am sure palm oil is coming soon so that’s positive secular growth rate there. That’s good, Robert. Thank you very much. I appreciate it guys.
Operator: And that concludes today’s question-and-answer session. At this time, I will turn the conference back over to today’s speakers for any additional or closing remarks.
Robert Bugbee: We thank everyone for joining us today. We look forward to speaking with you soon. Thank you.